Operator: Good afternoon, ladies and gentlemen. Welcome to Research Frontiers’ Investor Conference Call to discuss results during Q1 2013. (Operator instructions.) This conference is being recorded today. A replay of this conference call will be available starting at 12:00 PM on May 10, 2013, in the Investors section of Research Frontiers’ website at www.smartglass.com and will be available for replay during the next 60 days. Please note that some of the comments made today may contain forward-looking information. The words “expect,” “anticipate,” “plans,” “forecasts” and similar expressions are intended to identify forward-looking statements. Statements that are not historical facts are forward-looking statements that are made pursuant to the Safe Harbor Provisions that are part of the Securities Litigation Reform Act of 1995. These statements reflect the company’s current beliefs and a number of important factors could cause actual results for future periods to differ materially from those expressed. Significant factors that could cause results to differ from those anticipated are described in our filings with the SEC. Research Frontiers undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. The company will be answering many of the questions that were emailed to it prior to this conference call, either in their presentation or as a part of the Q&A session at the end. (Operator instructions.) I would now like to turn the conference over to Joe Harary, President and Chief Executive Officer of Research Frontiers. Please go ahead, sir.
Joe Harary: Thank you, Chad, and welcome to Research Frontiers’ conference call to discuss our Q1 2013 results. Joining me today is our CFO and Vice President of Business Development Seth Van Voorhees, and we’re pleased that you’re taking the time to be with us today and thank you for your continuing support of Research Frontiers. I also want to thank all the investors who emailed in their questions. This allows us to cover more ground and answer more of your questions. In some cases Seth and I have tried to answer these questions in the body of our presentation and to the extent we haven’t or there are additional questions there’ll be an opportunity later on in the conference call for participants to ask additional questions. Also, given the nature of the questions that we received it showed me that there was a strong interest in learning more about our new VariGuard Division servicing the emerging artifact protection market for museums, galleries, and private collectors. And we will talk about this in more detail today as well as give shareholders a better idea of what to expect in the near future for your company. Today I’ll also outline for investors what our strategies have been for each of the various markets and main industries using our SPD-Smart technology which are automotive, aircraft, architectural, marine, and museums; and we’ll give you a better idea of what to expect in these markets and how we plan to continue successfully growing our revenues from each of these markets. We will also talk about new market opportunities and then we’ll answer questions from participants in today’s call. I thought I’d give you maybe an overview. We want to end each year in better shape than the prior year and we accomplished this in 2012 and we look forward to a successful 2013 as well. In 2012 we bolstered our balance sheet by raising over $12 million in additional capital. We increased our institutional ownership from under 8% to over 20%, increased the liquidity of our stock and now have two analysts covering our company with buy recommendations. Strength continues in 2013 with no debt and approximately $12.9 million in cash and other highly liquid assets on our balance sheet. In 2012 revenues were up 2.3x compared to 2011, and in Q1 2013 revenues were up over 46% from Q1 2012 and over 28% from Q4 2012. And fee income is now coming in from a wider group of licensees as more products and different industries are being sold. In addition to expansion in each of our four main industries we’ve expanded our reach both geographically and with very little cost into certain low-hanging fruit in identifiable markets like the museum market. But the lion’s share of our revenue is still from automotive, and each time we add a new car model this results in meaningful accretive revenues for research frontiers. More on this later, but now Seth will delve a little bit deeper into the numbers for Q1. Seth?
Seth Van Voorhees: Thank you, Joe. Good afternoon, everyone, and thank you for joining us on this call. As always I’ll discuss the financial results in approximate terms and cover some highlights from our Q1 2013. For more details please see the financial statements along with the notes thereto. First, let me comment on the income statement. For the year, fee income increased by approximately $225,000 or 47% from approximately $483,000 in Q1 2012 to $707,000 in Q1 2013. Most of the increase in fee income during this period was a result of higher royalties from several licensees in the automotive market. Operating expenses increased by approximately $228,000 or 16% in Q1 2013 to $1,668,000 from $1,439,000 for Q1 2012. This increase in operating expenses was principally the result of higher payroll and related costs of approximately $153,000 plus higher marketing and public relations cost of $34,000. About half of this increase was the result of higher non-cash compensation expenses associated with the issuance of options and stock to employees, directors, and consultants. The reduction in the number of outside directors from five to three in mid-2013 is likely to reduce the operating expenses by approximately $200,000 in F2014. Research and development expenditures increased by approximately $159,000 or 33% for Q1 2013 to $636,000 from $478,000 for Q1 2012. This $159,000 increase was principally the result of higher payroll and related costs of $146,000 much of which is related to non-cash compensation charges associated with the issuance of stock and options. Our net loss increased by approximately $786,000 in Q1 2013 to a loss of $1.6 million from a loss of $800,000 in Q1 2012. $613,000 of this increase in net loss, or 78%, is due to an income tax benefit the company received in Q1 2012 from a one-time state research and development refundable credit that reduced its reported net loss during this period. If we back out this tax benefit that we received in 2012 as well as the increase in non-cash compensation charges from options and stock issuance to directors, employees, and consultants, our net loss for Q1 2013 would have been almost $98,000 less this quarter than the same quarter in 2012. As mentioned earlier, going to a smaller sized Board should also save us at least another $200,000 in operating expenses next year. As we indicated in our current proxy statement, we have historically done what most companies do and have used stock and options to minimize our cash expenditures. We have asked our shareholders to approve an increase in our equity incentive plan so that we may continue to minimize cash expenditures going forward. So it is important that you vote when you receive your proxy materials from us or your broker in the next couple of weeks. So now let’s discuss our balance sheet. In 2012 we [strengthened] our balance sheet substantially and doing so reduced the risk profile of our company, making it more attractive to investment. At the end of Q1 2013, we had current assets of approximately $12.9 million and current liabilities of approximately $0.5 million, resulting in $12.4 million of net current assets. And we have no debt outstanding. On the investor relations front, as Joe noted earlier, we are now followed by two analysts. Also we will be participating later this month in the Craig Hallum Conference in Minnesota. I’ll be pleased to answer any of your questions about these matters or any other issues at the conclusion of this presentation. Joe?
Joe Harary: Thanks, Seth. I thought I would just note that 2012 was definitely an exciting year in many significant respects for Research Frontiers and that continued in 2013 with a steady stream of very positive developments. In 2012 of course the launch of the Mercedes SL Roadster – this became available in Europe at the end of March and in the US on May 2nd and has very strong take rates, much better than Mercedes’ original expectations. And I note this because this bodes well for future vehicle introductions. Usually with the German premium automakers the cars are first introduced in Europe and then in the US one to two months later, and then in Asia and the rest of the world with the right-hand drive countries usually getting their cars last. The next car to be launched by Mercedes is the S-Class at a special, what they refer to as “Big Bang” event this coming Wednesday, May 15th in Hamburg. From the questions that we received from shareholders I know there’s a lot of attention and focus on this event by our shareholders, and I’m not sure what features of the car they will highlight at this event. They tend to only talk about something that’s brand new. For example, when the SLK was introduced it focused primarily on Magic Sky Control, our technology, because that was a new feature for Mercedes. However, six months later when the SL was introduced it focused on their all-aluminum body since that was the new feature, even though the Magic Sky Control option was a prominent option that was selling on the SL better than their expectations. So you can’t always tell from what they emphasize what’s really important going forward. But judging from past experience these Big Bang events are usually followed one to two months later with a worldwide press event, with test drives over the course of several weeks; and usually after that more information streams out of Daimler as the car approaches being at a dealership. The S-Class is expected to be in US dealerships in September and options sometimes come out on a car when it first arrives, and sometimes like in the case of the SLK they’ll come out about six months later. Moving from Daimler to another OEM, in 2012 BMW introduced the Active Tour concept with the Cool Shade roof. Cool Shade is their name for the SPD-Smart glass roof. This debuted at the Paris Motor Show in June, 2012, with quite a bit of publicity devoted to the roof. In 2013 this car gained even more exposure and in March and April also appeared at the Geneva, New York and Shanghai Auto Shows. BMW recently produced a new lifestyle video commercial in May that shows the Cool Shade, so look for that on our YouTube channel and elsewhere. Some other developments in 2013 so far: in February Isoclima demonstrated its VebLite brand of SPD-Smart glass for marine applications. These are basically virtually venetian blinds where tiny segments within the glass can be individually adjusted for a very interesting aesthetic effect. In March, Tint-It and Advnanotech in Russia were licensed and their licenses are announced. Their primary focus is on the automotive aftermarket but also on the architectural market in the Russian market. In April at the Hamburg airshow we had a number of different licensees present there, and their booths were consistently busy over the course of the two and a half to three days of the show, with attention from all the major OEMs in the aircraft industry. And these OEMs represent potentially very high-volume programs within the aircraft industry. Also at Hamburg there were two new product introductions. Vision Systems debuted its SPD-Smart electronically dimmable aerospace window with integrated electronics and controls directly on the window. Basically if you can imagine a touch the glass and you can control it type of control system that’s exactly what they showed. It was very well-received and there was a lot of attention paid do that. Also Aerospace Technologies Group launched their Panacea Shade System using SPD-Smart technology and they’ve partnered with InspecTech. We did receive a question from a shareholder, [Jared Alpert], which is related to the ATG product: “Does it seem surprising that all large aerospace SPD licensees now offer a mechanical shade overlay to their SPD LC windows?” And the answer is no. I mean basically there’s a lot of design and aesthetic choices that go into what goes into the interior of an aircraft and sometimes they want a softened look where curtains or shades or fabrics are used; and sometimes you want a very sleek and modern look. And with SPD technology you can actually have both. The ATG Panacea product was quite well received at the show and they had a very Apple-like appearance in their booth, which indicated the very sleek, modern designs that are possible with SPD technology. So that was April. Yesterday we announced the launch of the VariGuard business unit that focuses on the protecting of valuable artifacts from light damage and the remainder of the year looks very exciting for Research Frontiers and our shareholders. Based on the number of shareholder questions that we got about the new VariGuard business I thought I would have Seth spend a little more time discussing this. So Seth, I’m going to turn the conference call back over to you to discuss VariGuard.
Seth Van Voorhees: Thanks, Joe. We’re really excited about the VariGuard business launch. Excessive light exposure is a leading cause of irreversible damage to many precious artifacts, particularly works on paper, textiles, and watercolors. Presently no display system is able to provide these artifacts with any protection against visible light damage. Abraham Lincoln’s Emancipation Proclamation is an example of an artifact that has suffered so much light damage over its life span that it can only be shown two to three days a year as a result of the damage that it incurred. Yesterday Research Frontiers announced the formation of its VariGuard business unit to address this important problem using our SPD technology. We received a number of questions asking about this exciting new business unit so we thought we’d take some time on today’s call to go into more details. VariGuard develops product lines that are uniquely tailored to the preservation of valuable artifacts by limiting their light exposure only to those times when people are viewing them. As we evaluated this market our value proposition became very apparent. To put it succinctly, how much is the Mona Lisa worth or the Declaration of Independence? VariGuard provides the world’s first and only display panel that protects artifacts from damaging visible light exposure. VariGuard estimates that the exhibition fabrication market, which includes display cases, picture frames and partitions is $200 million to $300 million in size. Potential end customers include museums, private and corporate collectors, galleries, and organizations that hold documents of historical and cultural significance. Display panels are a key component in the products used in these markets. The characteristics of the exhibition fabrication market are unique and different than Research Frontiers’ other major market sectors. In addition none of our current strategic partners are specifically licensed for this market segment. In order to address the exhibition fabrication market more effectively, Research Frontiers adopted a slightly different business model, which like our current licensing business model minimizes risk, personnel and capital expenditures while also promising some nice profit margins. VariGuard’s business model sells directly to customers in the exhibition fabrication market and it will outsource production of its VariGuard products to several strategic partners, not unlike what Apple and many other high technology companies do. We do not currently expect that this strategy will require a significant increase in personnel, R&D, or operating expenses going forward. Less than 1% of our operating expenses for Q1 2013 were related to VariGuard expenses as we’ve launched this business, developed some other product offerings and prepared brochures and other marketing materials, bought advertising in the museum industry’s leading publication for curators and conservators, and other such activities. Much of these investments are of a nonrecurring nature. We are excited about the prospects of our new business and look forward to reporting its progress to you in the future. VariGuard will soon be featuring its products at the Museum Expo 2013 which will be held between May 19th and May 22nd 2013 at the Baltimore Convention Center. Joe?
Joe Harary: Thanks, Seth. As you can see from the VariGuard business we like businesses that have high margins and very low capital requirements, and anytime you can outsource production and distribution it leads to even higher profit margins. So we’re very excited about this, and just judging from the customers that have approached us and some of the high-profile things that they want to protect it’s going to be a very interesting use of our technology. Now let’s talk about some additional exciting 2013 events. First, I want to remind everyone that Vision Systems currently has a factory that’s dedicated to SPD products in France, in Brignais, and they also have plans for a US facility in the first half of 2013. This US facility is meant to service US customers such as Honda Jet but also some of the foreign customers who do a lot of their assembly of aircraft in the United States. So it has strategic importance both for the US OEMs in the aircraft industry but also foreign ones as well. It also allows Vision Systems to have dollar-denominated production and better logistics to service the North and South American customers especially. Another exciting development is the expansion of the automotive aftermarket especially in Russia and some of the regulations that recently came into effect in Russia have been very helpful to our licensees. So now let’s talk again about revenues and what to expect in 2013. Fee income was up 2.3x or by $1.1 million from $846,000 to just under $2 million for all of 2012. In 2012 this was primarily from higher Pilkington sales from better-than-expected sales of the SLK and SL as compared to Mercedes’ original projections for these two vehicles. 2013 revenues will depend upon several factors in this area. On the one hand, typically in the second year that a car is introduced total sales volumes for the car are lower than in the first year. There’s a pent-up demand for the new vehicle that tends to be resulting in higher production volumes in the first year. However, this reduction in the number of vehicles can be offset by various factors including higher take rates; that is, the higher percentage of vehicles with Magic Sky Control that we’re seeing. Also revenue can fluctuate based on the selling price of the product and exchange rate fluctuations, and since these are sold by Pilkington to Daimler in Euros the Euro/Dollar exchange rate is something we pay some attention to. But by far the biggest fluctuations on the positive side for revenues will come from the expected addition of new vehicles using SPD-Smart glass by Mercedes and by other OEMs, and these tend to be large and long-term revenue streams that build on top of existing revenue streams. So while each individual revenue stream could be choppy depending on the factors that we cited above, the overall revenue trends can be very large and build upon themselves in a positive direction. We also expect new revenue from the automotive aftermarket primarily in Russia due to the addition of the two new licensees there, Tint-It and Advnanotech. In the architectural market we expect higher sales and royalties and visibility in the architectural market due to the increased activities from some of our licensees in this area and the addition of new licensees in 2013 in certain additional key markets. We expect higher sales and royalties and visibility in the aircraft and marine markets as well in 2013 because of the introduction of the new Honda Jet which will have SPD-Smart window shades as standard equipment with deliveries of these aircraft to customers toward the end of 2013. Also revenues from other aircraft sales and growing activity in this market due to the increased efforts by our existing licensees in this area and the entrance of Isoclima to the aircraft market during 2012 and Vision Systems to the marine market in 2012 as well. So some of the seeds that those companies have been planting are beginning to bear fruit as well in these new markets that they’re plowing. Also we’re looking forward to additional revenues contributed from the entrance through our VariGuard division into new markets such as the museum display and frame market. We already spoke about the automotive aftermarket; I wanted to answer a question from a shareholder. This is from [Graham Settle] and the question was whether our Russian licensees currently have lamination capacity in place. And I’m happy to say that even though we only announced our license in March in fact they are laminating SPD-Smart glass for the automotive aftermarket in Russia right now. A lot of this comes from the fact that they already have experience with this market, especially Tint-It which the principles used to be distributors for the AGP automotive aftermarket product for Russia so they’ve hit the ground running as well. Our strategy in the OEM business which by far is generating a much larger share of our revenues is fairly simple and straightforward. We want to make sure that SPD technology is being considered by the OEMs on every feasible vehicle that can benefit from it and we want to make sure we work in conjunction with our automotive licensees to win this OEM business and make sure that the automotive OEMs, their customers, are getting everything they need from Research Frontiers and the entire supply chain that we’ve licensed to serve these OEMs. Also how we intend to grow this business is very straightforward. Our starting assumption is that our sweet spot is cars over $45,000 in MSRP and the timing is basically when new models are either redesigned, which is every seven to eight years; or major refreshes which occur typically midway through that cycle. Since our last conference call and even the one before it there have been no cars in this category that were candidates for SPD that we didn’t get awarded the business on. And later this year there can be some additional ones so stay tuned for that. One of the nice things about the automotive market is it’s a very large but concentrated and addressable market. About 750,000 cars each year are made by our large customer Daimler – that’s about 37% of the overall market for cars in volume over $45,000. BMW is second with 605,000 cars or about 29% of that market, and when you add in VW mostly with their Audi and Porsche model lines you’re talking about another 250,000 cars or roughly 12% of the worldwide market. If you go to Tata Motors with their Jaguar and Land Rover model lines, that’s another 170,000 cars or 8%, and then Toyota with the Lexus brand is another 6% or 117,000 cars. So the top two car makers control about two thirds of the world’s premium car business or about 1.3 million premium cars. The top three, which are all headquartered in Germany, control about 1.6 million cars or about 78% of that market. The top five control 92% of the relevant premium market or just under 2 million cars, and they also have strong markets internationally including the largest car market in the world – China. Something very interesting just happened at the Shanghai Auto Show. At the Shanghai Auto Show, Daimler was in there with SLKs and SLs that were equipped with SPD with Magic Sky Control and also BMW had the Cool Shade there. And TCTV which is the largest state-owned television network in China had a piece on the evening news about the Shanghai auto show, and roughly half of that piece was devoted to SPD and the energy savings and emissions savings features of it, and what it brings to the market. More importantly, tens of millions of new viewers were able to see Magic Sky Control in operation for the first time. So what can we expect going forward? Well, we’re now working with these five major OEMs that I mentioned as well as others so we have pretty broad coverage in that area. We’re currently in the Mercedes SLK and SL models as an option. This represents about 10% of the premium line within Mercedes or about 68,000 vehicles and our goal is to be offered on another 90% of Mercedes’ premium line and also to move into serial production within BMW, Audio, Toyota, Jaguar and Land Rover and other automotive manufacturers. And we continue to make good progress in this area. In our March conference call I also outlined our strategies for the other major markets – aircraft, transit, marine and architectural. I won’t repeat these here other than to say we’re doing well in my opinion in all of these markets and our licensees are executing our strategic plan in these markets. I do have some more follow-up information on the architectural market, however. Our strategy here is also very straightforward: educate the relevant public on how smart their glass can really be, educate the relevant public on the differences in the technologies out there, and promote side-by-side comparisons to eliminate the rhetoric and have people focus on performance. For example, our windows are four times darker than Sage’s and about 300x to 400x faster. We’re about 30x darker than EControl electrochromic windows and also about 300x to 400x faster. And not surprisingly our request for side-by-side comparisons have been met by these competitors in the architectural market by declining our invitation or simply not showing up at the same events. However, these comparative events are inevitable and we look forward to them. More recently and as mentioned in the last conference call we were invited to participate at a Smart Glass Forum sponsored by one of the leading glass building envelope and energy consulting firms in the world. And one of the ground rules at this Forum was that the participants should show up with something other than handheld samples. Out of a number of different companies out there that hold themselves out to be in the smart glass market, Research Frontiers was the only company who was able to meet this challenge and we actually had four large SPD floor-to-ceiling architectural-sized samples at the event. Sage showed up at the event but they only had a small paper-sized sample; and View which used to be known as [SolarDIME] did not show up because of the pending patent litigation between Sage and View. I think also of significance is that Sage has been heavily publicizing their new factory in Minnesota and we’ve gotten some questions about it. It was scheduled to be online this quarter. At the Smart Glass Forum, however, Sage reluctantly confirmed in response to a question from a New York State development firm that they had not produced glass for any project from their new factory. And then looking forward, we’ve outlined our strategies – what can our shareholders expect? Of course continued progress in the automotive market with the introduction of new vehicles using SPD-Smart glass, and also we’ve been focusing on increasing the take rates for Magic Sky Control in the major markets for the technology. And some of the work that happened in China with the Shanghai Auto Show is a result of some of these efforts, and we have other efforts underway as well. Also continued expansion in the automotive aftermarket, expansion of the architectural market in various geographic regions, the primary ones being Russia, South America, Europe, South Florida, the Middle East; and then also promoting some of our messaging goals. But also I think to add to all of these foci now is profitable sales from the museum market. And just to give you a sense of some of the upcoming events I mentioned some of the events that have occurred since the last conference call – the Northeast Glass Show in March, the Geneva Auto Show which had both Mercedes and BMW showing SPD-equipped vehicles there, the New York Auto Show also with SPD-Smart equipped vehicles, the Active Glass Forum that I just described, the Hamburg Air Show in April, and the Shanghai Auto Show as well. Coming up between now and the end of the year there’s the Museum Show that Seth mentioned in Baltimore from May 19th through the 22nd, the European Air Show EBACE in Geneva May 20th through 23rd and we expect SPD technology to be exhibited there by some new OEMs; the Paris Air Show in June, also some new exhibitions by OEMs of our technology; the Frankfurt Auto Show in September; the NBAA in October, the aircraft show; the Ft. Lauderdale Boat Show; the METS show in Amsterdam and the Tokyo Motor Show in November in Tokyo. So with that I thought I would ask the operator to open up the floor to questions that might be in the queue that we haven’t already answered?
Operator: Certainly. We will now begin the question-and-answer session. (Operator instructions.) Our first question comes from Steve Dyer with Craig-Hallum. Please go ahead.
Steve Dyer – Craig-Hallum Capital Group: Thanks, good afternoon. Hi guys. A question as it relates to the S-Class and I know you guys haven’t confirmed anything, but if we were to speculate that you were on that when would you anticipate royalty payments to begin from something like that?
Joe Harary: Judging from our experience with the SLK and the SL we expect that several months before the option is available in showrooms we should start to see revenue gear up from that. Typically when a new car is introduced, and this is new in the sense that although SPD-Smart glass has been on two different Daimler models it can be very highly significant because this would be the first entre of our technology into very large surface area roofs and in sedans, which shows it’s not just for the sports car market but for the bigger market. So and there also may be additional suppliers that are supplying Daimler with this glass, because remember, we’ve licensed about three quarters of the world’s automotive glass production to use our technology and if you just look at the playbook – Steve, I know you follow the automotive industry quite well and carefully – they like to have multiple sources of supply for every strategic component of a car and SPD-Smart glass is no exception to that. So I think we can expect Daimler and others to bring up in the ranks other licensees other than Pilkington to supply that market.
Steve Dyer – Craig-Hallum Capital Group: And in general how much visibility do you have from the licensees or from the OEMs, either one or both when you’re going to be offered on a new vehicle?
Joe Harary: We have very good visibility in terms of things like production volumes and which sub-models within a model line will be introduced first, second, third and fourth. We have good visibility in terms of the size of the glass so we have an idea of the number of square meters that are involved with each vehicle and the expected take rates which, as was shown by the SLK and the SL sometimes are severe underestimates of what the actual take rates will be for a vehicle. The area, Steve, where we don’t have visibility is what the marketing messages are going to be. And these car makers tend to keep things even segregated within their own ranks so that the production people and the product development people often don’t know more than you or I might know with a little digging about the marketing plans for a particular option. So that’s the one area where we don’t know a lot of detail, and if we take for example the Big Bang event that’s expected next Wednesday in Hamburg for the S-Class I have no idea and many people, and most people within Daimler have no idea what’s going to be featured at that Big Bang event or not. But as I mentioned, my speculation is typically they focus on something that’s totally brand new to the automotive industry to add an exclamation point to what they’re introducing. But that in no way should detract from the other features of the car which I’m sure will be stellar and very near and dear to my heart.
Seth Von Voorhees: Steve, the only thing I would add is that predicting the timing between an announcement and when a car goes into production is very difficult and is all over the map. As you recall, when the SLK was announced it was a good six months later before it went into production. In contrast when the SL was announced it was a matter of weeks before it was in production – much, much faster than the SLK. It’s unclear how it will play out if we’re so lucky to be on the S-Class in terms of when it actually goes into production and obviously as we get more information we’ll share whatever we can.
Joe Harary: That’s a very good point also. And I think if you look at the SLK and the SL as guideposts, because they use the same SPD-Smart glass supplier for that vehicle the second vehicle was able to basically hit the ground running with all of the options including Magic Sky Control. In the case of any OEM bringing on either a new type of product or a new supplier you might expect a little bit of a gear-up period where they let the supply chain build up some inventory before it actually hits the showrooms. But we’ll find out together.
Steve Dyer – Craig-Hallum Capital Group: Just in general though, as we look out over the next couple years would you say you know the different models that you’re going to be on and the rough volumes a year in advance, two years in advance? That’s more what I was kind of thinking about in terms of visibility.
Joe Harary: Yeah, we know with high levels of specificity what the production volumes that our licensees have been told to anticipate are and exactly when those things are going to happen. So we have pretty precise numbers, and judging from what we see they can make a very meaningful and transformational change in our revenue stream. And as I mentioned earlier, each time you add a new model it becomes accretive, so you have sort of the existing steady state growing revenues from your existing models but then all of a sudden, each time a new model comes online it tends to jump up and adds to that. So it can make a meaningful difference to us and our bottom line and profitability relatively quickly.
Steve Dyer – Craig-Hallum Capital Group: Okay, just hoping over to the VariGuard unit – can you elaborate on your go-to-market strategy? In other words, who’s going to do the sales, the marketing, who’s out kind of pounding the pavement? I understand I think the production and sales aspects of it but maybe kind of how you’re going to go to market; and then secondly how quickly you may have some material revenue from an anticipation.
Seth Von Voorhees: Well, let me take the first question since that’s the easier of the two to answer and then I’ll try at the second one. Our strategy in terms of going to market is that this is something that we are marketing ourselves. The market for VariGuard products is a very concentrated market, so that we’re talking about a very limited number of customers that we think will highly value the products that we have to offer. So it’s something we felt was within our capabilities given our existing infrastructure and existing personnel and it will use the SPD technology that’s been developed here for many years. So we don’t anticipate a significant increase in costs over and above what we were originally budgeting for our ongoing SPD business. So I guess that’s a simple answer to your question. Now, as a direct market we will… As we become more successful in this marketplace and realize sales we will have expenses associated with those sales in contrast to our licensing model which is essentially a pure profit product. But the key element that I want to stress here is that the value proposition that we receive from our licensing business model is that we typically get 10% to 15% of what our licensees are selling in the form of a royalty payment. What we see an opportunity in a market that’s dealing with interior room products, which is again different from what our other business unit areas typically are involved with and a very concentrated customer base. We saw an opportunity that was different and something that we could handle, and most importantly something that we could increase the value proposition that our shareholders are able to realize the benefit from. So that was the basic business model of why we approached this market as we did, and the most important thing – and I think that this is where you have to start looking at anything – is the value proposition at the customer level is literally off the charts when you look at artifacts that currently cannot be protected that are irreplaceable. And we offer a technology that protects them so that they’ll be able to be cherished for many years to come. So we just think that the market will greatly value our products and we’ll be able to not only improve the user experience but realize some value for our shareholders. So we’re very excited about it. Now, getting back to the second part of your question about revenues, we have launched this business literally this week. We will be in a position to be taking orders in a relatively short period of time. We are going to be leveraging our internal infrastructure to make these products. I think the key variable is as with any new product there’s a testing phase and a validation phase from the customer level, and we don’t yet have a strong feeling on how long that will take. But given the initial feedback we’ve gotten from many of these key customers they’re as excited about this product as we are and I think they’ll be motivated to move it along as quickly as they can.
Joe Harary: One of the things, Steve, just to add a little bit maybe from the CEO’s perspective – we don’t want to change a good thing. So we’re not in the business of substantially increasing the risk profile of a company that’s on its way to great success. The things that I liked as CEO when Seth and Greg presented this business unit to me is the fact that as Seth mentioned it’s a very highly concentrated, finite group of key customers so you don’t have to do much to canvas the waterfront. It’s sort of like with the automotive industry – five players control 92% of the worldwide relevant market in automotive. You have something very similar in this market where it’s fairly easy to cover the waterfront. The other thing I like about it is it’s a really, it’s a build-to-order, just-in-time, take no risk, take no inventory management type of approach. So I expect that our revenues will all be profitable from this business as we go forward with very little risk. And as Seth mentioned, we’re going to be outsourcing things like production and distribution and a lot of other things. So the less glass that we have to handle the better I like it, so that’s kind of some of the hallmarks for the technology.
Steve Dyer – Craig-Hallum Capital Group: So who’s going to be doing the selling? I’m assuming, I believe in the value proposition and I understand – who’s going to pick up the… Do you have a salesperson, is it going to be a value-added reseller model, etc.?
Joe Harary: The main selling entity is word of mouth because the museum curators and conservators are a very tightknit group that communicates with each other. And what we’ve seen so far is very high-profile projects have been coming to us in this market as a result of people hearing or reading or speaking to their colleagues in the museum industry. So really what we’re trying to do is just light a match under the powder keg and let this develop somewhat of a life of its own. Now of course we’re guiding that powder keg in a controlled manner with the right marketing messages so that it’s an educated populace that’s out there. And I don’t see this taking a lot of internal personnel time to handle.
Steve Dyer – Craig-Hallum Capital Group: Last question, and then I’ll ask the rest I guess offline. You’ve talked for several quarters about monetization of your IP portfolio. We haven’t I don’t think seen or heard anything – maybe an update there would be great.
Joe Harary: At this point I can’t say more than we’ve said publicly just because of the nature of some of this monetization, but we are proceeding along the lines that we intended in that area. So I’m sorry I can’t give you more at this point.
Steve Dyer – Craig-Hallum Capital Group: Good, thanks.
Operator: Our next question comes from [Jared Alpert], a private investor.
[Jared Alpert] – Private Investor: Hi Joe, hi Seth, thanks for taking my call. My first question is looking at the breakdown of the fee income you’ve got a 36% licensee and a 25% licensee – that’s the split. I assume the 36% is Pilkington. Is the 25% also selling to an OEM customer or is that an aftermarket?
Joe Harary: We can’t really go into the details of how the breakdown is because with a limited number of licensees, Jared, we’re actually revealing to competitors that have nonexclusive licenses who’s doing what in that industry. So I apologize. I can’t say more than what I think everyone knows, which is the largest one by far was Pilkington in this area in Q1.
[Jared Alpert] – Private Investor: Okay, understood. In terms of the VariGuard, going forward assuming it’s positive, will it have its own line item on the income statement or will it be mixed in with the fee income?
Seth Von Voorhees: It’s something we’re currently in discussions with our accountants but I think it’s probably likely that this is going to need to be reported as a separate operating segment at some point and that would be reported independently given the fact that it’d have to be material in terms of our financials; but secondly the nature of the business is distinctly different than the licensee business model which would tend to require you report it separately.
[Jared Alpert] – Private Investor: That’s good. It seems like a really big departure. For more than twenty years the license model has held sway.
Joe Harary: Not so much. I think if you look at the characteristics of what we look for in a good business – good profit margins, a concentrated group of customers and a good value proposition for our technology – it fits in very well with the other markets. What’s a little different is that rather than having a separate company licensed to do some of these things we realized that in certain markets you can effectively have a virtual company that can subcontract out any of the necessary pieces just like as Seth mentioned earlier the analogy with what Apple does. And we can do that with the added benefit of not having to have the same advertising budget as Apple.
[Jared Alpert] – Private Investor: I understand, but in the past the [RFI] website might be a clearinghouse for orders and then these orders, the issues might be passed along to the innovative glasser – somebody local who could actually handle the lamination and assembly. And so is VariGuard then sort of the first of more than one niche entre?
Joe Harary: It’s hard to say, Jared. We don’t like to let any opportunity that looks like it’s a low-risk proposition go by. But we’re also cognizant of keeping our eye on the main prizes out there and you know, as such we’re not going to stretch ourselves too thin or take our eye off the ball. I mean if you look at what we did in automotive we were focusing with blinders on automotive basically until we were able to get Mercedes successfully across the finish line with introducing a car into serial production before we really started devoting any resources to some of the other markets like aircraft and architectural. So we’re very cognizant of the fact that you want to understand the best way to deploy resources and if an opportunity comes up we’ll figure out if it makes sense for us to do it.
[Jared Alpert] – Private Investor: I [wonder if you think] it’s reasonable to take some of the cash that’s starting to rise and use it, even if you sell the stuff at cost to just broaden the awareness of the product and just get it placed? There’s certainly a lot of variable tint products out there whether the photochromatic or electrochemical.
Joe Harary: Our visibility is good and we certainly are doing a lot of things where we’re getting publicity that we get paid for as opposed to what we pay for, and that’s always attractive. But we also don’t want to keep our eye off the other factor, which is our goal is to become a royalty collecting dividend paying machine and we haven’t forgotten that.
[Jared Alpert] – Private Investor: That’s good to hear. One more quick question about aircraft. Ten years ago when InspecTech was, or twelve years ago it was 5000 windows a month and it was all… There was no LC overlay, it was just pure SPD and the [readings] were worse and the speed was worse – does that seem like the direction now? And I understand what you said about the color coordination and different looks, but it seems like that defeats the (inaudible) purpose. But my real question is two years ago [Bob Sachs] was quoted at Shanghai I think saying that the A350 would use almost certainly an SPD LC overlay. The C-Series looked very promising a few years ago.
Joe Harary: I don’t think anyone said anything about the A350 other than Airbus has certainly advertised the fact that it has very large windows as a feature. The C-Series is a very different story. Bombardier actually featured that at the Paris Air Show last time in the first class cabin in a very nice fuselage mockup of it. The question is when does that entire aircraft come out, not whether SPD is going to be on it. But we’re focusing on a lot of different products and aircraft, including those two that you mentioned.
[Jared Alpert] – Private Investor: But at the Hamburg Air Show both were interviewed, various articles mostly at (inaudible) global, and both said they’re either on the fence or that they’ve received sort of mixed customer reactions to it.
Joe Harary: Jared, I’ve got to cut you short. But I think that’s changed. The perception in Hamburg was certainly very strongly positive towards SPD in various configurations from SPD-only, double SPD, SPD LC, SPD plated shade, SPD fabric shade, SPD other types of materials too. So I think the aircraft industry is beginning to realize this can be a very versatile product as well. It was nice to have you. We’ll open the floor to maybe a couple other questions and then maybe make some closing remarks because we are running a little bit over time here.
Operator: Certainly. Our next question comes from Harvey Weiss, a private investor.
Harvey Weiss – Private Investor : Hi Joe.
Joe Harary: Hi Harvey. How are you enjoying the SL by the way?
Harvey Weiss – Private Investor : We’re having a lot of fun with it. It’s better than watching a video. [laughter]
Joe Harary: Well wait for a nice, sunny day when somebody’s sitting there and they just give you that “Wow!” reaction because all of a sudden you can feel the heat difference as well inside the vehicle because of it.
Harvey Weiss – Private Investor : Exactly. A couple questions: we haven’t heard anything about SPD eyewear. Are there any licensees working on this application?
Joe Harary: We’re not by any sense abandoning the eyewear market, and actually recently if you pick up any newspaper you’ll read a lot about things like specialty eyewear like Google glasses and other things where they’re trying to add a lot of functionality to eyewear. The volumes could be very high, surface area very small but we don’t really care about that – we get paid on the selling price, a percentage of the selling price of the product. So those could be good markets for us. It’s certainly not the low-hanging fruit for us but it’s a market that we can easily address when they develop, so we haven’t forgotten about it. We’re just focusing and keeping our eye on the main prize that’s out there until those other markets develop.
Harvey Weiss – Private Investor : Okay. How much does it cost per square foot to retrofit with an SPD window compared to say a regular SPD window?
Joe Harary: That’s a question better directed to the licensees but I’ve seen such a wide range of prices. For example in Russia there’s been quite a large range of pricing for certain vehicles, and a lot of it depends on whether the vehicle is something that the licensee already has tooling for or not. If you have to develop new tooling to bend the glass into a certain shape that’s more expensive than not, and a lot of times what they try to do is anticipate what the expected volumes are for a particular vehicle and then amortize that over it. So you’ll see a wide range but it’s cost-effective and it’s becoming I know at the OEM level where we actually have pretty good visibility, pricing is coming down as well to the manufacturer which is a nice sign.
Harvey Weiss – Private Investor : Okay. And one last question: what’s the current status of that iGlass project to mass produce SPD film in Australia?
Joe Harary: They’re still working on developing their film product and also we have other companies that are also coming out with their own SPD-Smart film as well. And I can’t comment on the timing just because these companies compete with each other at this point. But you’ll know about it and I think shareholders will be very happy the way this progresses. I think we have time for maybe one more question before closing remarks, and just as an apology – there may have been one or two additional email questions that we weren’t able to get to that we also weren’t able to incorporate into our presentation. To the extent anyone feels that their questions haven’t been answered please email us and we’ll do the best we can to answer these questions offline.
Operator: Thank you. Our next question comes from Michael Kaye with Kaye Associates.
Michael Kaye – Kaye Associates : Hello, Joe. Just one brief one: currently Hitachi is the only licensee that is mass producing the SPD film – is that correct?
Joe Harary: That’s correct right now.
Michael Kaye – Kaye Associates : The other thing is regarding VariGuard, now that I understand the context of things I really think it makes a lot of sense given the nature of the market. So will Research Frontiers at their facility actually be manufacturing anything?
Joe Harary: No.
Michael Kaye – Kaye Associates : Will the glass that’s needed be made by Pilkington an they’ll send it to the people you’re outsourcing that’ll insert it in the display cases?
Seth Von Voorhees: Yeah, the way we’re handling it is that we’re designing the fabrication, what’s being used and which we think is customized for this market segment. But in terms of actually production, Hitachi is making the film that we’re using, we’re using the film that’s currently commercially available. We have tailored the formulation and we’re having a strategic partner laminate that film into a product and it’s anticipated it’ll be shipped directly to customers. So the simple answer to your question is we’re not getting into any new activity that we’re not currently working on. I probably said that poorly but we’re not doing anything different than we were doing last year in terms of addressing this market.
Joe Harary: You won’t see autoclaves and crates at Research Frontiers anytime soon. I’d like to maybe make a few closing remarks. Just to kind of summarize, four of the world’s major automakers representing about 85% of the worldwide production for premium cars, have introduced either concept cars or serial production vehicles using SPD-Smart glass. Honda Jet and Bombardier have publicly shown SPD-Smart windows on their next aircraft to be introduced, and as I mentioned today we’re also slated to be standard equipment on the new Honda Jet. Airbus has been flying SPD windows on every A380 delivered to Quantas since October, 2008, making us the longest-flying dimmable window technology in the world in the aircraft industry. And SPD-Smart glass is the best-selling smart window in the world. We’re highly regarded in the industries that we serve as the best-performing and most reliable smart glass technology in the world. And at least several million times a year people press a button and experience this cool magic brought to them by Research Frontiers and our SPD-Smart glass technology and of course our licensees. Each time they do this or show it to their friends or share a video of a product using our technology awareness of SPD-Smart glass technology grows. And with all this use of our technology around the world there’s been no problems or complaints reported – zero. That’s significant because this reliability along with the glowing and enthusiastic praise by the world’s automotive and lifestyle press and their growing awareness makes it even more likely that the use of SPD-Smart glass will expand into a higher percentage of existing vehicles offering it as an option and expand into new additional car models with even higher production volumes. And the square footage per car of SPD-Smart glass will also grow as we move from sports cars to sedans and SUVs. Thousands of cars are on the road and more are being produced every day, and additional models are on the near-term horizon that will use our SPD-Smart glass technology to make cars safer, more comfortable, more energy efficient and environmentally friendly –and frankly, more fun to drive. Your company is in the strongest position ever with a growing list of highly active licensees, growing markets in all industries and even more exciting developments in the works that will lead to even higher revenue growth and profitability. I thank all of you for your support and trust and I’m confident in our future and the strength and determination in which we and our licensees are moving forward. Thank you all very much and I look forward to seeing many of you at our Annual Stockholders Meeting on Thursday, June 13th and continuing to share good news and progress with all of you. Thank you all very much.
Operator: Thank you very much, the conference has now concluded. Thank you for attending today’s presentation, you may now disconnect.